Operator: Good day and thank you for standing by. Welcome to SunPower’s Second Quarter 2022 Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Michael Weinstein, Investor Relations for SunPower. Please go ahead.
Mike Weinstein: Good afternoon. I would like to welcome everyone to our second quarter 2022 earnings conference call. On the call today, we will begin the comments from Peter Faricy, CEO of SunPower, who will provide an update with second quarter announcements and business highlights, followed by our expectations for the remainder of 2022. Following Peter’s comments, Manu Sial, SunPower’s CFO, will then review our financial results and guidance for the year. As a reminder, a replay of the call will be available later today on the Investor Relations page of our website. During today’s call, we will be make forward-looking statements that are subject to various risks and uncertainties that are described in the Safe Harbor slide of today’s presentation, today’s press release, our 2021 10-K and our quarterly reports on Form 10-Q. Please see those documents for additional information regarding those factors that may affect these forward-looking statements. Also, we will reference certain non-GAAP metrics during today’s call. Please refer to the appendix of our presentation as well as today’s earnings press release for the appropriate GAAP to non-GAAP reconciliations. Finally, to enhance the call, we have posted a set of PowerPoint slides which we will reference during the call in the Events and Presentations page of the Investor Relations website. In the same location, we have also posted a supplemental data sheet detailing additional historical metrics. With that, I’d like to turn the call over to Peter Faricy, CEO of SunPower. Peter?
Peter Faricy: Thanks Mike and good morning everyone. First to comment on the recent announcement of the inflation reduction act before I review our Q2 business highlights. The news gave me an increased hope that the United States can lead the world in the energy transition. The bill could ensure that all Americans get access to Clean Energy technology and the cost savings, resiliency and peace of mind that comes with it. It has the potential to boost our economy with well-paying jobs and communities across the nation. As we keep working everyday to make renewable energy accessible to everyone, I urge our legislators to pass this bill so we can get to the future we envision quickly. People need clean affordable and reliable electricity now. Please turn to slide number four. I'm pleased to report that customer demand continues to be strong, and that we added 19,700 new customers in the quarter, a 51% increase year-over-year, and a record all time quarter high. Just as impressive has been revenue accelerating at 63% more than a year ago, a solid increase over the 41% year-over-year growth we saw in Q1. This is a clear indication of how higher pricing is working its way into our results without dampening customer appetite. We continue to see strength across all our sales channels and knows the 117% year-over-year customer growth from the SunPower direct channel. Our backlog set a new high versus recent quarters at 19,000 retrofit customers with another 34,000 New Home customers and backlog as well. Within new homes we see multifamily and rent to own segments that have been strengthening under the current home market conditions. Our Sunbelt energy storage solution continues to attract strong customer interest with a 19% SunPower direct bookings pass rate. Sunbelt also benefited this quarter from improved profitability as we raise pricing. SunPower financial increase loan bookings 87% year-over-year, driven by strong customer interest in our new own products. Please turn to slide number five. The strength of customer demand is illustrated all the way up the sales funnel , where we are experiencing more than 70% growth across lead generation gross appointments and bookings revenue. These numbers are also impressive sequentially versus Q1 with a 10% increase in lead generation and a 16% increase in bookings as we start to increase prices for the first time in over a year. Please turn to slide number six. Consumers are already burdened with levels of energy cost inflation that haven't occurred in a decade. They need relief and they need it now. Fortunately, residential solar remains one of the most meaningful ways to reduce home power bills, even considering the rising costs of supply chain and labor. Our main competition has been traditional electric utility and their costs are rising more rapidly than the solar industry. According to the U.S. Energy Information Agency, electric bills have already increased 9% year-over-year as of March, more electric bill inflation could be coming as their cost of capital and conventional generation fuels continue to rise rapidly this year. Utility capital spending for an ageing and increasingly less reliable grid is also forecast to grow significantly in the next few years according to the Edison Electric Institute. All these factors add up to a strengthening customer incentive to add rooftop solar, while simultaneously providing the residential solar industry with more pricing power than we've seen in years. Please turn to slide number seven. I imagine some of you are wondering about the possible impact that the current economic conditions may have on our customers. I want to take a moment here to highlight some of the specific comments we read why they are going solar with us now. Among the most important reasons cited are number one, to lower their monthly electric bills; two, to have a positive impact on climate change with clean and renewable energy. And finally, number three, the peace of mind that comes from knowing that they will have power even when the grid fails, which unfortunately has been happening with increasingly frequency in the recent years. We believe these drivers of demand are important to consumers regardless of the economic forces. Please turn to slide number eight. We created SunPower Financial last year to offer a full choice between a suite of loan and lease products whatever suits the customer's needs best. We continue to innovate in this area with loans that keep monthly payments low. We are originating loans using purchase agreements that provide up to $2.5 billion source from depository capital with a cost that's 150 to 200 basis points lower than the ABS market. We remain ready with facilities in place to shift towards ABS if that market becomes more attractive to us. Higher interest rates could have an impact on customer savings but with flexible terms and the abundance of customer choice, we are working to mitigate that effect, especially in comparison to the rapidly rising utility bills. While we stand ready to expand our lease offering if needed, we aren't seeing a push for that from our customers. Loans have been roughly 80% of our financing originations over the past year, and as we look at bookings happening right now, we expect that same level in the second half. Please turn to slide number nine. Another topic I want to address as a New Homes market and what we are expecting, as the sector deals with the impact of higher mortgage rates. SunPower is a leader in this segment. In Q2, we set an all-time record high of more than 4600 new installations. We continue to bring in new home builders and their communities that are planned and under construction. In Q2, we saw a 46% increase in contracted active construction communities where solar is a standard offer on every home. This brings our contracted backlog and new homes to 34,000 customers with another 40,000 potential customers in the pipeline, including a growing multifamily segment. When we look beyond 2022, we see the potential for a slowdown in single family construction due to slower monthly sales rates being reported by that industry. But there's more to the story here. Number one, typically any slowing of home sales typically takes about six months to affect solar installations. Based on homebuilder construction progress for their previously sold backlog, we expect most of this second half solar installations to pay similar to the first half. Even number two, even as single family homes slowdown we are increasingly engaged in the multifamily and single family build to rent categories, both of which are growing rapidly. Number three over the long run, the U.S. still faces an underlying shortage of new homes. By one estimate this deficit is 3.8 million homes that's been building ever since the 2008 mortgage crisis. And finally, number four; we continue to add new home builders and communities to the portfolio as we broaden our scope nationally, beyond California, which has helped mitigate some of the effects of any slowdown in new home sales and construction within each community. Please turn to slide number 10. Finally, I'll share with you the progress we've made executing against the five pillars of our strategy. For customer experience, we continue to make significant progress in Q2. Our Net Promoter Score improved to 51, a 38% improvement year-over-year. Service levels improved further with customer wait times reduced 45% to 31 seconds, and average query resolution time reduced 36% year-over-year. This is a journey, not a destination. And the constant improving of our customer experience ensures that SunPower continues to earn the title of best in the business. On New Products we're pleased to report that we have secured additional panel supplies for 2022 from a variety of sources that will help us meet soaring customer demand. We've continued to make progress towards signing a deal with First Solar with an expected completion date in Q3 to develop a domestically produced residential tandem thin film module as well as a long term supply plan. For Growth, we launched a new Home Solar program in partnership with IKEA for select California markets. In the new home segment we extended our contract with KB homes nationwide and we signed a new deal with Dream Finders Homes in Colorado. Under digital innovation, we're happy to announce the completion of a multiyear redesign of our remote monitoring system that saves $4 million of OpEx per year and improve the customer experience with the app, mySunPower users have more than doubled last year, since last year to 107,000 monthly active users. And finally SunPower Financials continues to innovate and grow with low-APR loans, expanded eligibility up to $150k, and favorable cost of funds. I'll now turn it over to Manu for more details on our Q2 results. Manu?
Manu Sial: Thank you Peter. Please turn to slide 12. As Peter mentioned earlier, strong demand remains the key story for SunPower in the second quarter, and this combined with continued healthy gross margin and declining platform investment for customer to sell us a wealth for a strong second half. The second quarter, we are reporting $15 million adjusted EBITDA and $414 million of non-GAAP revenue, an increase of 63% year-over-year, which you will note is an acceleration over the 41% year-over-year growth we saw in the first quarter. We added 19,700 new customers in the second quarter, a 51% increase year-over-year that was also nearly 20% higher than the first quarter putting us on track to achieve our 2022 guidance for year end. Adjusted non-GAAP gross margin remained above 20% as we pass along to customers, higher panel, freight and labor costs that continue to be felt across the industry broadly. As sales and marketing OpEx for new customer declined from the first quarter to second quarter, we saw a sequential increase of adjusted EBITDA per customer before platform investment to $1900 for the second quarter. As we highlighted at the analyst day, platform investment of $23 million is primarily product, digital and corporate OpEx, and on a per customer basis, platform expenses beat and we expect this to decline in the second half as customer growth continues. We believe that this will help us achieve a full year EBITDA guidance. Our balance sheet remains strong, with a higher cash balance and lower net recourse debt, which continues to provide us with the flexibility to invest in the business. We also have 1.5 million unsold Enphase [ph] shares at the end of the second quarter. Please turn to slide 13. We are affirming that guidance for 2022 and a target model for 2025 that we most recently discussed at the analysts day. Continued strong customer growth, operating leverage and discretionary platform investment all contribute to our confidence in meeting full year EBITA guidance. We have said that our results this year are weighted towards second half. And next, I'll walk you through an update to the bridge between first half results and full year guidance for EBITDA for customer. Please turn to slide 14. On this slide, we highlight updated factors that leads to a 2022 full year guidance for $2,000 to $2,400 EBITDA for customer before platform investment, starting from a base of $1,850 in the first half, these figures are rounded for presentation. First, we expect to see continued improvement to gross margin from higher customer pricing to offset cost inflation that will result in an incremental improvement of between $125 to $325 EBITDA per customer for the full year metric. We remain in a strong position for this especially as utility bills rise this summer and fall. Second, we call that a target model from the analyst day also seems SunPower’s Financial attach rates grow from 35% to 45% by the end of 2022. The target model also assumes a storage attach rate for installed system that grows modestly through 2022, assuming upto $1,000 to $3,000 of incremental margin for each attached customer we ultimately expect a broad incremental improvement of between $25 to $225 EBITDA per customer, the full year.
$1850: As customer acquisition built into Q4, you should think about our total EBITDA as seasonally weighted towards the fourth quarter. We exited the first half of 2022 with strong residential demand, completion of a strategic transformation to a residential only company and a cash and balance sheet position that is in the best shape they have been in years. This sets us up very well, for a strong second half of the year, and continued expansion of our market share in the years to come. With that. I would like to turn the call over for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Sean Morgan with Evercore ISI. Your line is open.
Sean Morgan: Hey guys, good morning. And I had a question on the First Solar partnership. So the First Solar has their Ohio manufacturing and this recent IRA bill, it's kind of increase the likelihood of them being able to capture some production tax credits. And I think they're probably not going to do it on the CapEx for the facilities rather on the actual flow of modules being produced. So is it too much of a stretch to think that with a JV you guys might be eligible for some of those PTCs? And then just as a follow up on that? How big do you think the addressable market is for these tandem crystalline potential products is in the residential market?
Peter Faricy: Good morning Sean thanks. Yes, we're continuing to be excited and optimistic about our opportunity to develop a commercial partnership with First Solar. Just to, just to clarify, it is a commercial partnership. It's not a JV per se. And as you pointed out, they've got a terrific set of manufacturing facilities in Perrysburg, Ohio. I've had a chance to visit there and tour their factories, and they're, they're quite impressive. The amount of automation and the amount of domestic content they're able to combine together are terrific. So in this bill being considered by the federal government, I think we are quite excited about these add on for domestic content. I think it's a little early to speculate as to whether or not these products would qualify, I think it would be wonderful if they did, obviously, because I think it would be open up new market segments across the U.S. and it would potentially give us a unique advantage and having a potential 10% add on for leases and PPAs. I think on the on the thin film products, we're thinking about addressing the market in two ways. We've had success of the premium segment of the market. And we would imagine that the highest efficiency panels that we might produce together, would be targeted towards that segment and set a new innovation standard. But we're also thinking quite broadly about how do we also produce a module that maybe would be at the very top end of the mass market segment, or mainstream segment and allow us to have that same kind of innovation lead, and affordability for that segment, as well. So as we as we work together and we think about what we want to go do in the future, we're really thinking about developing products that would address both of those market segments.
Sean Morgan: Okay, thanks. And then I think I saw in the, either the release or the presentation 150,000 is the upper limit for the financing packages. And I think that's pretty well in excess of the average cost of us an install. So I was kind of wondering, like, what exactly would be sort of included in that upper limit of, a customer CapEx bill that ran at 150 grand, like, would that include storage, like some sort of super extra generation or how would you get to that to that level of kind of the upper end of customer cost?
Peter Faricy: Yes, sure. You hit it exactly right. We do have homeowners that have large homes, big roofs, want to have the maximum number of panels their roof will support if you think of places like Hawaii and California where it really does make sense to sort of maximize the amount of cube space you can get in solar panels. But also, increasingly attaching batteries and EV chargers is becoming more and more common for our customers. On the battery side, as we introduce later this summer, our two inverter, home backup product, some of those products you could spend $20,000, $30,000, $40,000, depending on what size battery you want to have with your home. So it really does increase the budget, I guess, if you would for solar plus battery, plus, EV charging. We're also imagining that it'll be helpful for consumers to qualify for a large amount, so that they have the ability to easily buy stuff from us in the future. So we've talked about, we really have a view of our of our customer base, a long term view, lifetime view. So we really think of ourselves as we want to be their partner for the lifetime. If they qualify for a large amount and only use part of that, you might imagine us being able to make it very easy for them to add on a couple more panels or add on a new battery or whatever it might be. So we're quite excited about the innovations that we're developing on the SunPower financial side, and a lot more to come as we go forward there.
Sean Morgan: All right. Thanks Peter.
Peter Faricy: Thanks, Sean.
Operator: We have a question from Ben Kallo with Baird. Your line is open.
Ben Kallo: Hey, good morning, guys. Thanks for all the information. Congratulations. Could you talk about maybe just the geographic mix in the quarter? And then I have a follow up.
Peter Faricy: Yes, I think that the thing that we're looking for Ben is, are we continuing to see signs of growth spread across the United States. As you know we've been a company that had a very strong presence in California that we're very proud of. And California has a terrific business. But we're also looking to see if we continue to grow the business and the Northeast and the Southeast. And I'm pleased to say that in Q2, we had another good quarter of growth outside of California. So in particularly if we take a look at Texas, Florida, North Carolina, Illinois, the and then the New York, New Jersey, Massachusetts, Connecticut corridor, all of those states continue to grow quite well as well. And then interestingly enough, Blue Raven is in these, I would call them I guess more off the radar states. They go through the middle of the country. And when you take a look at their customer growth rate in Q2, we don't break that out separately, but it gives you color, I would say, their growth rate was even faster across those states, than our overall growth rate was just to give you a feel for how strong the solar businesses all across the country. So I really feel like we're getting closer to reaching an inflection point where, where it's becoming more common knowledge that you can really save a great deal of money, net of your solar costs every month, you saw the customer feedback that we stuck in our presentation. And that was purposeful, because we want to kind of share with everybody how our customers describe to us why they're choosing to buy solar. And I think you're seeing that more and more across the country.
Ben Kallo: Thank you. And then just you talked a lot about increasing utility prices. Could you just talk maybe the leverage to that? I think, and maybe it seems like you're more levered than some others in the near term. I'm just wondering how that squares with deal reiterate guidance versus, maybe raise it a bit and how you guys think about that? Thanks, guys.
Peter Faricy: Yes, well, I think we feel we feel like if I just take a break after the first half of the year, we're in line, maybe slightly ahead of where we said we would be when we were an analyst day. So from a customer perspective, we took a look at the midpoint of our guidance, we're about 47% of the way there, that's what we expected to be about this time. We've got a strong second half ahead of us. And then from an EBITDA perspective, we had kind of described it as one third, two thirds, one third the first half, two thirds the second half, and I think we're in we're in a solid position to deliver that for the year. That's why we reaffirmed our guidance. I think what we're seeing Ben is the ability to pass along where we are getting price increases whether it be cost of capital on the financing side or where it would be product or labor costs increasing. We've been able to successfully pass those along without slowing down demand. One of the reasons that we put the page in there comparing this is page five of our deck Q2 to Q1 is to sort of directly address this topic of whether or not the business is losing any momentum. And from our perspective, we began to raise prices at the end of Q1, you saw those prices begin to have an impact in Q2. And yet the business continued to accelerate. And so far in Q3, I think we're seeing this continued pretty strong growth as we go. So we're, we're excited for the second half of the year. We reaffirm our guidance, and we feel like we've got the plans in place to deliver those results.
Ben Kallo: Thank you.
Peter Faricy: Yes, Ben the only thing I'd add is, if you go to page 14 of our deck, we laid out our EBITDA per customer growth from the first half to total year. So we are expecting to see operating leverage in the back half of the year both price in excess of inflation, as well as increasing the attach rate for SunPower Financial and modest increase in attach rates for SunVault.
Operator: Our next question comes from Pavel Molchanov with Raymond James. Your line is open.
Pavel Molchanov: Thanks for taking the question. You touched on kind of geographic footprint a bit earlier. Maybe I'll ask it this way. Before all the inflation in of the past year, the rule of thumb was rooftop solar makes sense where utility rates are at or above $0.15 per kilowatt hour, just about maybe a little over a dozen states? How has that changed in last year?
Peter Faricy: So I think that if you take a look at the -- I think that using that metric, I think is a fair way to take a look at it. I think part of the reason we gave the customer feedback we did in the deck is that there are multiple reasons that people consider buying solar. One of them is the one that you pointed out, which is the pure economic reason. And we think of it as the spread between solar and traditional utility costs. Those have gotten bigger over this past year. And therefore we see that addressable market has gotten as having gotten larger on the lower your electric bills. But I would also say, I'm surprised and delighted to see the number of people who identify with wanting cleaner energy and wanting to contribute to that, that's that middle bucket of feedback. And then, maybe not a surprise if you live in California or one of these states where there's regular outages, but we're seeing more and more people who really want to have more control over their energy resiliency. And so people talking about both solar and battery storage as being essential to avoid these outages is increasing in our customer footprint. So I do think the economics look more and more favorable, if we can get this bill passed. We think the addressable market will grow dramatically over the next four years. But I think in addition to the economics, you probably ought to consider there are other reasons that people are buying right now, as one of the reasons I think demand is so strong. Manu, what would you add?
Manu Sial: Yes, I think the two points that I had is one, we put some data in our deck as well. You are seeing about 9% increase in utility bills year-over-year. And that was as of March and that, natural gases, gas price is increasing, I think that that probably accelerates as we head into the back half of the year. Right. So that's point number one. If you link that to what we are seeing in terms of growth, we are seeing growth in all our channels, whether it's our diesel channel, or our direct channel, including Blue Raven. So we are seeing growth not just in our in the Northeast or in California, but also in the areas that Blue Raven operates. I think that trend in terms of rising interest on solar, given what's happening in the backdrop of the utility prices and natural gas prices is probably more secular throughout the year. And you're seeing that in our bookings growth, despite us increasing prices.
Pavel Molchanov: Just a small housekeeping question to follow up. Why did depreciation expense triple from Q1 to Q2?
Peter Faricy: Yes. As you've talked about, that we are investing in, in our platform and the platform investment happens both in terms of investment in OpEx, that shows up in our EBITDA, but also in some of the digital tools including an ERP system that we upgraded and went live in the second quarter or late first quarter and that's what's causing the increase in depreciation quarter-on-quarter  We also have a little bit of work associated with our SunVault, in that in that capitalized number that impacts depreciation. So overall as a company, we are investing heavily in technology, whether it's product or software. And that is consistent with our approach from a capital allocation perspective.
Pavel Molchanov: Thank you.
Operator: The next question comes from Julien Dumoulin-Smith with Bank of America. Your line is open.
Morgan Kaplan: Hi, this is Morgan on for Julien here. Just wanted to ask, you've given some comments about some of the cost reduction dynamics through the rest of the year. And as well as the price increases, can you maybe just talk about the latitude of those things through next year, your expectation for the pricing, primarily, and then also cost reduction plans sort of cadence to direct to the year like what specifically and driving these moving pieces?
Peter Faricy: Yes, let me start off with, I'll talk a little bit about the pricing piece. First, I think, in this environment where supply chain costs are increasing, we have been able to increase our prices by that amount and actually a little bit more throughout the year. But if you said what's healthy for the long term, I don't think that dynamic is healthy for the long term. So our goal would be that we manage our supply chain prices in a way that keeps them flat or actually improves them over time. Because I do think we don't want to put ourselves in a position where solar becomes such a big ticket item that it appears to be unaffordable for people. And I think it's more about the appearance and the reality, because between leases and loans, there's lots of good financing opportunities. But we have to be careful, we don't be -- because the appearance and the reality because between leases and loans, there's lots of good financing opportunities, but we have to be careful, we don't become perceived as a premium product. On the cost front, we're constantly looking for things. And I think the best example I can give you is the one we highlighted under our destination. This project where we redesigned our monitoring system, we basically insource the software and built it ourselves. Not only is the software higher performing and a better customer experience. But saving $4 million annually is obviously a great annuity for us to take advantage of as we move forward. So, we're constantly looking for opportunities where we are outsourcing or using a third party or where there's manual work that could be automated. And we'll continue to look for those opportunities this year, next year and many years and beyond. Manu, anything else you want to add to that?
Manu Sial: Yes, I think a couple of things. If you go to slide 14 of our deck, we lay out some of the dynamics that go towards how we go from our first time EBITDA per customer, to a total year EBITDA per customer. And there are two things I'll call out in terms of operating leverage. One is price in excess of inflation. And second is increasing from attach rate perspective, both on SunPower Financial and storage. But the other point is, I think to get to our guidance, we do not need to reduce our sales and marketing expense and upward customer expense. So that kind of gets you from our first half to our total year. I think as you think about modeling for 2023 probably take the back half run rate in terms of EBITDA for customer and use that as a good approximation for next year.
Morgan Kaplan: Excellent. Thanks, and truly here, just a quick follow up here if I can just on the loan product and just what you're positioning here. Can you talk a little bit more on what's been reflected in the 45% attach rate just given some of the gyrations on that front? I mean, can you talk about your sort of competitive positioning here, especially on pricing?
Peter Faricy: Yes, I think Julien on SunPower Financial, one of the most exciting things is we really have an opportunity to invest in technology to make that product easier for our dealers, to sell with our customers. And someday easier for our customers to be able to buy directly from us. Along with making the technology easier, we’re on this, I guess, path of innovation, where we're continuing to launch more and more new products each and every quarter. We highlighted a couple of those in our release in our comments. From a pricing perspective, I think we were one of the early ones to begin to pass along our cost of capital increases into the cost of our loans. And I think we're still pleased with how strong the businesses is overall, and how strong our loan businesses. So right now, I think we feel comfortable that we're providing customers with good value, we're getting a good return on the business. And we're looking forward to more and more innovation as we go. The key thing in my perspective on increasing the attach rate is, because historically, we didn't have as competitive a product as we needed. Most of our dealers have chosen to seek other financial alternatives; we're really seeing that change pretty dramatically. And one of the best tests we've done is we're in the process now of converting Blue Raven to become 100%, SunPower Financial, and I've held the bar high for Blue Raven. I didn't want them to convert over, I wanted them to sort of treat SunPower Financial as if it was a third party company, and not convert their loan business until we had products that were at least as good or better than they had been using previously at rates that were at least as good as better. So, using our own test case, I think we feel increasingly good about the SunPower Financial business, and our ability to be competitive both with our dealers. And someday I hope beyond that as well. Manu, anything else you want to add?
Manu Sial: Yes, a couple of things as you think about SunPower Financial, relative to some of the pure play financiers. One is we have access to depository capital that as you know that's lower than what's currently being financed with the ABS market. And second is, because we are - we have access to the customer and since we sell them the systems, we can leverage our fixed costs across a wider suite of products that now includes financial products. And then the third thing I point out is Peter touched on Blue Raven. The other opportunity from a SunPower perspective is getting more of our dealers to use SunPower Financial finance products, you can see that trend over the last few quarters where our installing dealer cash as a percentage of total systems is going down and will continue to go down through the years.
Morgan Kaplan: All right, great guys. Thank you. Good to hear you guys are on track.
Operator: We have a question from Kashy Harrison with Piper Sandler. Your line is open.
Kashy Harrison: Good morning, everyone. Congrats on the quarter. Most of my questions have been asked just one more for Manu. I know you'll are still early in the new SunPower story. But I was wondering if you could maybe just give us some thoughts on how to think about EBITDA conversion to cash flow from Ops, not necessarily for 2022. But as you think about 2023, you indicated, I think, in the prior question that we should be thinking about the second half run rate on EBITDA per customer basis. And so I'm just trying to think through how to how to model that from a cash flow perspective? Thank you.
Manu Sial: So Kashy, a couple of things. This from a model perspective, you are right. We have transformed the model of the company to a high cash generation and cash conversion model. You'll see that in the back half of the year as we expect to generate operating cash in our business. We call that out in the cash table we put in the appendix. I think as you model as long term EBITDA to cash conversion probably think in the 60% or in the 60s from a long term perspective.
Kashy Harrison: Thank you.
Operator: We have a question from Colin Rusch with Oppenheimer. Your line is open.
Colin Rusch: Thanks so much, guys. Can you talk a little bit about trends and battery size that you're seeing right now? Have you seen any real significant changes or increases that you see some of the issues around the grid?
Peter Faricy: Yes, I think the biggest trend that we're seeing is we launched our SunVault product last year, and we describe it as a partial home backup. And what that means is that you can identify key appliances that you would like to keep up and running during the course of an outage. Or you could identify your entire house for a shorter outage. What we're seeing is that there's more and more demand actually for the much larger batteries as we go forward. So think of the product that we launched that I have in my garage is the entry level product. And the two inverter, multi battery product is where consumers really want to go. And I think if you if you look forward, it's quite exciting actually. The idea that between the solar battery backup and possibly your EV car or truck backup homes are going to be able to support themselves throughout an outage, and maybe even multi day outages of keeping their key appliances going. I think that's the big trend that people are excited about. I haven't lived in an area where the power is relatively stable. But for those who live in areas where the outages are regular, they're extremely disruptive to people's lives. And the feedback we get from customers, some of which we put on our deck this week reflects the fact that for some people, it's really the resiliency that's driving them to the table. They are delighted to find out they get to save money, they probably have it in their heart to do something good for the planet. But I think the resiliency is becoming a bigger, bigger story. And I expect our battery sizes to increase over time. One of the things that's exciting about the inflation reduction act is that it does include battery, and includes battery for 10 years at that 30%. So I think that's, that's really terrific, because I think we're going to get a chance to really expand that market size as we go forward.
Colin Rusch: Alright, and then the follow up is just I'm curious about the difference between some of the more mature markets like California, and some of the emerging markets within the U.S. in terms of, cycle time for customer acquisition, conversion rates, things like that, and if you look at some of the middle of the country versus some of the coastal work that you guys do.
Peter Faricy: Yes, we break out, to keep it simple. The one metric we take a look at is California, non-California for things like cycle times, and conversion rates. And what's so pleasing is that we're really beginning to see conversion rates get to the same level as California, all across the nation. So I'm just taking a look at a sheet here. I mean, even states, some of these we talked about before Colorado, North Carolina, Florida, Texas, those are just very, very strong states for solar. And I think we're beginning to see building momentum in those states. Really, our biggest challenges this past quarter was the high class challenge of keeping up with demand. It’s really been, how do we get the number of panels we need and the right skews of panels, and the right labor in the right cities at the right time? That's been that's been our challenge. But we made some progress on that. And we're quite excited about our plans for the back half of the year.
Colin Rusch: Thanks so much.
Operator: Thank you. We have a question from Mark Strauss with JPMorgan. Your line is open.
Mark Strauss: Yes, good morning. Thanks for taking our questions. Most of them have been addressed. I wanted to come back to Slide nine, though, in when we're thinking about the mix of single family versus multifamily. Is that something that you can provide or just kind of give us a general guideline of how we should be thinking about kind of how big the multifamily business is for you?
Peter Faricy: Yes, Mark, I think we're multifamily is beginning to be material. Single Family build, the rent is just kicking off, I would say. I think our comments were interestingly enough, as we work with the new home builders, most of them overlap across the segments across the U.S. So they're not just in one particular channel. And although there may be a slowdown, it'll still grow, but maybe a little bit of a slowdown in single family new homes; we're really seeing them accelerate their investments in multifamily and single family build the rent. What's interesting is California is kind of leading the way again. I don't know if you're aware of this, but the incentives are strongly aligned for all multifamily homes are now required to have solar and at some point, they'll be required to have both solar and battery storage. And what we've seen is what starts in California begins to spread across the U.S. And many of these same builders find it economically feasible and desirable to do what they're doing in California, across the other states they operate in. So I think as we look forward, these three segments single family, new homes multifamily, new and single family builds, the rents are three segments that we expect to grow, grow healthy, I guess over the next five to 10 years as more and more people are looking for different types of dwellings that meet their economic needs.
Peter Faricy: Big thanks to all of you for the questions today. And thanks for your support of SunPower. We're really looking forward to the back half of the year. We're cautiously optimistic that the Inflation Reduction Act will get passed. We encourage it to get passed quickly so that customers can take advantage, consumers across the U.S. can take advantage of solar and storage and the money savings and the job generation that comes with it and we look forward to talking to you all of you next year, next quarter. Thanks.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.